Operator: Thank you for standing by, ladies and gentlemen. And welcome to Tsakos Energy Navigation Conference Call on the Second Quarter 2014 Financial Results. We have with us Mr. Takis Arapoglou, Chairman of the Board; Mr. Nikolas Tsakos, President and CEO; Mr. Paul Durham, Chief Financial Officer; and Mr. George Saroglou, Chief Operating Officer of the company. At this time all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. (Operator Instructions) I must advice you that conference is being recorded today, Monday, August 04, 2014. And I now pass the floor to Mr. Nicolas Bornozis, President of Capital Link, Investor Relation Advisor of Tsakos Energy Navigation. Please go ahead Sir?
Nicolas Bornozis: Thank you very much, and good morning to all of our participants. This is Nicolas Bornozis of Capital Link, Investor Relations Advisor to Tsakos Energy Navigation. The company released its financial results for the second quarter of 2014, this morning. The press release has been distributed publicly. In case if you do not have a copy of it, please call us at 212-661-7566 or email us at ten@capitallink.com and we will email a copy to you right away. Please note, that parallel to today's conference call, there is also a live audio and slide webcast, which can be accessed on the company's website on the front page at www.tenn.gr. The conference call will follow the presentation slides, so please, we urge you to access our presentation on the webcast. Please note that the slides of webcast will be available at an archive on the company's website after the conference call. Also please note that the slides of the webcast presentation are user controlled and that means that by clicking on the proper button you can move to the next or to the previous slide on your own. At this time, I would like to read the Safe Harbor statement. This conference call and slide presentation of the webcast contain certain forward-looking statements, within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements, involve risks and uncertainties, which may affect TEN's business prospects and results of operations. Such risks are more fully disclosed in TEN's filings with the Securities and Exchange Commission. Ladies and gentlemen, at this point, I would like to turn the floor -- I would like to turn the call over to Mr. Takis Arapoglou, the Chairman of Board of Tsakos Energy Navigation. Mr. Arapoglou, please go ahead, sir?
Takis Arapoglou: Thank you, Nicolas. Good morning, everyone. It's really a great pleasure and honor to have been elected Chairman of TEN proceeding John Stavropoulos. I would like to thank the Tsakos family, the Board of TEN and Mr. Stavropoulos for their support and confidence. In the midst of Stavropoulos' Chairmanship, during the past 20 years and with the close cooperation and leadership of COO and strategic investor Niko Tsakos, TEN has established itself as one of the leading and highly trusted oil tanker companies in the world. Going forward, we commit to perfect further our model of operational excellence, capital efficiency and revenue growth in order to continue to offer value to our investors and customers, while adhering to the higher standards of corporate governance. In doing so, we'll maintain our dynamic asset allocation philosophy with a modern and ever evolving technologically advanced fleet, ready to cover the diverse needs of our customer base, which as you all know, is of the highest caliber. During the last few years, the market has fully supported us in raising new growth capital which resulted in the broadening of our investor base and the results of which can be clearly visible now in our financials. A few words on our stock. Our stock has outperformed year-to-date all our peers; however, we still believe that it continues being undervalued. We're committed to rectify this going forward by committing to deliver superior financial performance for the benefit of our shareholders. So I would like to thank you and pass the floor to Niko Tsakos.
Nikolas Tsakos: Thank you, Mr. Chairman and welcome on Board. Everybody is proud and happy to have you and to continue our growth [technical difficulty] prospects. We are very glad to report six months and second quarter results going towards the right direction. It seems that what we have discussed in previous quarters that we like that the end of the tunnel is more visible today than it was, it's true. We've seen very strong first quarter. We've seen the seasonal correction of the second quarter and we have been surprised by the strength of the beginning in the first 40-so days of the third quarter, the strength of that market. Together also we're surprised to see the appetite of the major end users for the operational performance from companies like ours. We have good news to report. We hope to be reporting quite a few items of good news going forward. Within this quarter as things develop and the things fall in line, before we get I think in the future, I will ask our COO, Mr. George Saroglou to give us a little key story of the last six months and the last quarter where we are and where we've been and where we're going. So George? George Saroglou Thank you, Nikolas. It is my pleasure to speak with all of you today and provide you the details of the operations of the second quarter and six months of 2014. For those of you connected to the internet, and our website, there is an online slide presentation whose format we'll follow during the call. Turning to Slide number three, where we have a snapshot of the diverse pressure by fleet and current reforms, which enables the company to take advantage of market opportunities and spikes. We have 44 tankers that carry crude oil consisting of one VLCC, 12 Suezmax's. We have taken delivery of two modern Suezmax tankers in mid June and -- mid June and mid July. One of them is trading in a strong spot market and the sister vessel on [indiscernible] time charter to a major oil company. We have 17 Aframax tankers, eight in the water and nine newbuilding under construction for Statoil business, two DP2 shuttle tankers on fixed line employment and 12 out of 26 product tankers in the fleet and gate at the moment include trade operation resulting in 35 vessels out of 50 vessel operating fleet trading in the crude market today, a market that is doing extremely well. We have also two LNG vessels including one in the water and one on order. The next slide shows the growth TEN has experienced since going public in 1993 in the Oslo Stock Exchange, and since the New York Stock Exchange floatation in 2002. You can see the growth in all the metrics, the size of the fleet and you know the deadweight. In the tanker market, the next slide, the quarter started slow, thanks to schedule refinery maintenance in the Northern hemisphere before it's reaching from shipping oil to gasoline production that made the tanker fleet look bigger. However, we experienced a big rally starting from the second half of June, that's lifted the earnings of the VLCC, Suezmax and Aframax that continued well into July. Rates for Suezmax and Aframax surged to levels we have seen in January of this year as more barrels continue to head East to Asia. The outlook for the balance of the year continues to improve for all three crude asset classes as the first quarter appears to be much stronger than typical, mainly due to growth in Chinese inputs as China continues to build their strategic results and their infrastructure feeding as the refined capacity continues to increase this year as well. Despite the political risks and financial headwinds, the global economy is expected to grow at 3.4% in 2014 and 4% in 2015, especially in 2015, growth is expected to come from advanced economies. So that's the first time since 2008 that once economies other than the United States are expected to contribute to have GDP growth. Global oil demand also continues to grow breaking the demand record every year since 2010. Demand for 2014 is expected around 92.7 million barrels per day, which is 1.2 million barrels per day growth over the 2013 demand levels. The forecast for 2015 as macroeconomic conditions improve is for 94.1 million barrels per day, the growth of 1.4 million barrels per day over 2014. The order book especially for crude bankers is still low, but historical numbers. Suezmax and Aframax bankers expect little supply growth in the next two years, on average less than 1% growth in 2014 and 2015 for Suezmax, negative growth in 2014 and flat in 2015 for Aframax. [indiscernible] appear to have covered their order book well into late 2016, most of the orders in the last 18 months have been above the tankers in March and [indiscernible]. The overall tanker order book is now around 14% to 15% of the existing fleet and we're talking about vessels over 30,000 deadweight down from almost 40% back in 2008 and 22.3% in 2010. The end result calls for modest global fleet growth for the next two to two and years. The company pro forma fleet, the next slide continues -- the company pro forma of 60 vessel includes 50 vessels in operation as two modern Suezmaxs recently joined the fleet, nine up from our crude carriers under contraction for delivery in 2016 and 2017 and one LNG under construction. The fleet is 100% double hull, very modern and the average age of the operating fleet today is 7.3 years, much younger than the average of the old tanker fleet. 21 tankers have ice-class capabilities and 21 vessels of the company is 50 vessel operating fleet have fixed employment, nine vessels operate in profit-sharing charters or together with a [fixed] (ph) and a few months until the end of the year to 14 years. 20 vessels trade in the spot market including fewer spots of 17 vessels age of two vessels and pulling arrangement for one vessel. Together with nine vessels in profit sharing, TEN has today 29 vessels that can take full advantage of market spikes. Thanks to a balanced time charter philosophy, we continue to operate the fleet at a very high utilization rate. 98% for the second quarter and the first half of 2014, when the average utilization for the tanker fleet in 2014 is expected to be a little over 86%. Let's move to Slide number eight. The slide has a main financial highlight of our press release, significantly improved numbers in every category for the first half of 2014, leading to profit and operation in the first half of the year, 18% improvement in voyage revenue, $243 million, close to $206 million in the first half of 2013. 22% increase in the EBITDA over the same $83 million that show the figure of the first half of 2013. 80% increase in operating income, $33 million versus $18.3 million in the first half of 2013. Net income of $14.8 million versus a modest loss of $500,000 in the first half of 2013; [impact] (ph) since the guys have started back in 2008, while maintaining the firepower to grow responsibly. The next slide presents basically the fleet as it stands right now. Again you see a very modern diverse and properly build fleet. We focus in three market sectors, conventional tankers, which covers both crude and product tankers and LNG and shuttle tankers. Of the four markets LNG and offshore shuttle tankers are potential growth areas for TEN due to their prospects, favorable supply demand fundamentals and value creation. Within conventional tankers, TEN operates both crude and product tankers. As you can see, TEN has one of the largest and most modern crude fleets in the water, taking advantage of the surge in crude market environment and a versatile product fleet within the half of the product vessels in the fleet engaged in dirty crude oil trading at the moment. We also have 21 oil bankers. We have entered the 47 shuttle tanker sector with [two] will be the two shuttle tankers with 15-years time charter age. This is a sector that troubled tanker sector is being monitored by TEN, where we expect to see more expansion going forward. We have one LNG in the water, one LNG also under construction. Since 1997, the vessel was built exclusively with new building orders from Korea and Japan. The next slide shows the clients with whom the company is doing the business over the years, thanks to the quality of service, fleet modernity and the safety record of the enterprise fleet. In the same table, beside the names, we also list the top seven clients -- the top eight clients of TEN and their share of in the revenue of the company during 2013. Let's move to the next slide, which is the employment slide. We continue the balanced employment strategy of the fleet that has a mix of spot charters, COAs and pulling arrangements and period charters with fixed rates and minimum rates with profit-sharing arrangements. We have 21 vessels on time charter with fixed employment, nine vessels in profit sharing and 20 vessels trade in a combination of spot COAs and pools. Another way of reading the employment details of the fleet is that we have 33 vessels with good employment from a few months until the year end to 14 years and 29 vessels with earnings tied in full or up to 50% over a minimum base rate with spot markets that continues to improve. If we put a dollar value in the next slide on the above, as of today, August 4, we have 58% of the remaining available 2014 fleet operating days, 39% of the available 2015 fleet operating days and already we have fixed 22% of the 2016 fleet operating days. If we assume only the minimum rates, TEN has secured 858 months of forward coverage for 2.2 years per vessel, which translates to $800 million in minimum gross revenues. The next slide talks about the sale and purchase track record of the company. The key takeaway here is that the sale and purchase activities are an integral part of our operation as the record shows and the fleet modality is a key element of corporate strategy. Since the listing in the U.S. stock exchange, we have generated capital gains of approximately $280 million or another $25 million per year. The company has invested its capital gains in the renewal of the fleet by ordering the majority of its new building tankers before new building prices started to rise. TEN as already acquired at attractive price levels two modern Suezmax, sister vessels to Suezmax already operating in the fleet and exactly looking to sell some of its existing tankers in the current environment of rising asset prices. At the same time the companies working on projects with similar characteristics like the recently announced Statoil deal. So the company’s next growth stage will be with transactions for purpose build vessels that we serve all major requirements to medium to long term business based on equity minimum rate and additional profit sharing arrangements with the charters. Slide 14, this is the key story of our cash dividend distributions. The next dividend of $0.05 per share on the common share will be paid on August 14. We have announced today another dividend to be paid on November 25, 2014. In total, since 2002, we have paid $9.88 in cash dividend or approximately $394.7 million and this compares with a listing price in our IPO of $7.50 adjusted for the November 2007 two to one split. Although we floated the company in 2002 of $7.50 our share price reached $14 in 2007. In comparison to 2007, we have today a bigger operating fleet a new building program where nine out of the 10 vessels are tied to long accretive charters that the current share price doesn’t seem to reflect according to management the company’s financial strength, the embedded company’s growth, and growth profits and the improving state of the freight market. The Management vision is to continue growing the company responsibly and at the same time have this reality being reflected in the company’s share price. That concludes the operational part of our presentation. Paul will walk you through the financial highlight of the second half of 2014. Paul? Paul Durham Thank you, George. Well as I expected the softening of the crude market is partly to seasonal factors affected future earnings after a robust quarter one. Quarter two net income was $200,000, at least a considerable improvement over the $1.5 million loss in quarter two, 2013. The negative earnings per share, which is reported as dividend; however, for the six months net income was $14.8 million compared to a loss in the first half of 2013. Operating income for quarter two was $8.5 million about the same as in quarter two 2013. But for the six months we achieved $33 million operational income against $18.3 million in the first half of 2013 an 80% increase. Revenue after voyage expenses in quarter two increased marginally over quarter two 2013. Average daily time charter equivalent per vessel was over $18,100 in quarter two compared to $18,000 in the previous quarter two. However half year average TC per vessel was $20,400 versus nearly $18,100 in the last year’s first half. Aframax on spot in a difficult market for most of quarter two were actually star performers earning nearly 30% more compared to the previous quarter two. Suezmax earned less on average than in quarter two 2013, but rebounded in late quarter two and especially into quarter three. Product carriers on the market related rate achieved lower average rates than in quarter two 2013. Despite slightly cheaper fuel and fewer days on spot, voyage expenses were $2 million higher in quarter two than in quarter two 2013 due to higher bunker consumption on longer pool voyages and higher port expenses. Operating expenses increased from the prior quarter two due probably to the sharper tankers having higher operating costs than conventional tankers that they had earnings that easily absorbed these costs and also over the 5% fall in the dollar against euro, which affected crude expenses. On an average daily cost per vessel, operating expenses fell sharply from the recent quarter one spike returning to more acceptable levels. Finance costs were nearly $2 million down quarter against quarter and also for the half year period mainly due to the expiry of three rather expensive interest rate swaps. All vessels generated a positive EBITDA in the half year with a total EBITDA of $83 million, 22% over the first half of 2013. In quarter two, EBITDA of $34 million was similar to that achieved in quarter two 2013. Permitted new building capital expenditure related to the nine Statoil crude Aframaxs and to one LNG carrier. Remaining payments in 2014 will be $52 million and $57 million will be paid next year. We have finalized financing arrangements for the Aframaxs with leading banks at competitive terms, which includes financing all the remaining pre-delivery yard installments. Debt of 31 June was $1.36 billion after $42 million was drawn for the acquisition of the Suezmax Eurovision. $59 million was also recently drawn for the acquisition of the second Suezmax Euro. At 31 June, leverage based on values was 56.6%. Net debt to capital was 49%. We have strong liquidity and cash flows fully capable of meeting our operational needs, CapEx commitment, debt service and dividend requirements allowing us also to consider new proposals. The recent increases include tanker rates despite fluctuation, bode well for Q3 results and for further cash flow generation this year. And this concludes my comments. Now I’ll hand the call back to Nikolas.
Nikolas Tsakos: Thank you, Paul for your really analytical description of what has happened in the last six months and specifically in the last quarter. I think that we are optimistic looking forward the beginning of the third quarter started very well. I think the supply and demand characteristics that George spoke about for the areas where we specialize and in the crude carrier specifically, the Suezmaxs and Aframaxs are very positive for the owners for the first time after a very, very long time more than a decade. We have not heard of negative growth as it is in the Aframaxs and almost breakeven growth on the Suezmaxs and an all in tanker newbuilding order book of 14%, of which most of it has to do with unfortunate orders of product carriers that happened in the last couple of years. So I think we are looking forward to finally well-balanced market. We can see this coming also because the majority of our clients are looking to take ships on long term employments, so the longer, the better. 2014 so far is going to be the year will be biggest demand for long-term employment, which means business for six months and over six months to 10 years and over by the major oil companies. So far this year, we have close to 280 long term charters signed in the whole -- those 350, the whole of 2013 and there has not been a year that it exceeded 250 in the last 10 years. So we are seeing the clients who know forward the requirements looking to cover themselves because they can see that the supply and demand care is finally towards the owner's benefit. So without trying we have to be conservative and be optimistic, but I think we are looking forward at a good year. We believe 2014 will be a positive and hopefully substantially positive year and we are looking to come back to the market and talk to you about the opportunities that we are going to be looking. As George said there is a lot of interest for long-term employment, accretive employment and our aim is get our share price not to the $7.50 that we went public in 2002, but significantly above that, we really believe that right the whole segment is at very low point. And with this thought, we would like to open the floor and would be happy to answer any questions about the company and the market. Thank you.
Operator: Thank you very much indeed sir. (Operator Instructions) And from Stifel, your first question comes from the line of Ben Nolan. Your line is now open.
Ben Nolan - Stifel: Yeah, thanks a lot. Nick you were just mentioning some increased activity on the long-term charter side. I know you guys have done some of that specifically with some of the Suezmax's that you got. I guess with respect to the two vessels, the two Suezmaxs that you just recently acquired, is that something you consider doing with those and what type of tenure are you looking at? Are we talking two years, are we talking ten years with respect to what your interest would be in someone marking down charters on your assets.
Nikolas Tsakos: Well, right now we have to say that we are fighting and it's been a while to fill this work. We are fighting business away. We would not charter a long-term without either a significant profit earnings arrangement because we expect that the market is going to be strong. We have geopolitical events right now but we have the whole Ukrainian situation, we have the problems in Iraq, the crude oil coming out, we have longer -- longer halts, longer and more top miles happening. The Russian oil that Europe was absorbing, it’s huge market for Suezmaxs and Aframaxs, the Black Sea. Any part of that will lead us to get more ton miles and start getting oil from either West Africa or Venezuela or the U.S. Gulf. So I think that is going to increase the pressure on the rates. On that I think we described a very tight supply and demand situation and I am pointing this out because our industry really has suffered for the last six or seven years from the oversupply. Demand in 2009, which was a year of big literally tightened their belts even in energy was always there. So I think what we have been trying to achieve is get owners more responsible start ordering ships. It has happened I hope it won't last for long, but we’re going to enjoy as long as it lasts. So we are not looking to charter at a fix rate. We are there to do business anywhere between two to five years with an accretive minimum end profit sharing and there’s a lot of that type of business which is coming our way by the major oil companies.
Ben Nolan - Stifel: Okay. Very helpful and then my next question actually goes with the crude side. I did notice that when you split out your -- the percentage of your fleet that’s in the product market versus the crude market, it only looked to be 14 vessels I believe in the product tray. Have you have guys been actively moving or rotating your product fleet into the crude market as a function of better rates in that area and would you categorize that as sort of a longer term move or just opportunistic making betters rates when available?
Nikolas Tsakos: We carry anything -- any form of energy. So we’ll not have any, I would say preference. We have the luxury to run a very versatile modern fleet and a good operation team but can actually turn around those vessels in a matter of a week from crude to clean little bit harder but going from clean to dirty. So it has been a very easy process having the right vessels with the right equipment to do it. We are client-driven. So we’re seeing our client and the rates being on the crude and we have sold our three Aframax product carriers are trading fuel and crude right now. The same with all our Panamax and a big part of our small handle size vessels other than 14 fleet ships as you said. So we have the type of fleet that is able to turn around and carry the energy that pays more.
Ben Nolan - Stifel: Okay. That’s helpful and could you just maybe for me categorize what the differential is that you’re seeing right now, crude or dirty versus clean, how much on average more profitable do you think it is on the dirty side?
Nikolas Tsakos: I think it’s 70-30 as we speak today, but still we're not -- we've seen the product carrier if we see more and more of the condensate coming up in the United States and as they come down, turn right and go through the Panama Canal to the far east, I think that's going to balance it. So we're ready for that. As I said we have nine Panama and that’s what they do and they will be there to take advantage of that market if they have to.
Ben Nolan - Stifel: Okay. Perfect and then my last question and it relates to the potential for you guys doing an MLPs -- has the timeline changed on that at all or are you still maybe thinking that the first part or the first half of 2015 is the target.
Nikolas Tsakos: That’s correct. Exactly.
Ben Nolan - Stifel: Okay. All right, that does it for me. Thanks a lot guys.
Nikolas Tsakos: Thank you.
Operator: Thank you. Now from Morgan Stanley, you have a question from the line of Fotis Giannakoulis. Your line is now open.
Fotis Giannakoulis - Morgan Stanley: Yes. Good morning gentleman and thank you. I would like to follow-up on the last question on Ben. I think it’s the third time in the last three quarters I am asking about that, have you started drafting the prospectus for the MLP and when shall we be expecting the first filing over what type of vessels and see what type of vessels you’re going to include in this MLP?
Nikolas Tsakos: Yes. Thank you. As I think we discussed yes, we’re -- we have I would say done two-thirds of the expenses and the work being required for the MLP. So this is -- it has gone down.
Fotis Giannakoulis - Morgan Stanley: And you can remind us which are the vessels that you are considering of including in this MLP and what type of growth you see that the MLP is going to be having?
Nikolas Tsakos: Well, it will be -- initially any vessel with five years period or longer, which of course includes some of our Suezmax, some of our -- the two shuttle tankers and the LNGs as they come on long term charters and of course the growth will be almost of that at least a vessel per quarter from beginning of 2016 as the long term chartered shuttled vessels would be dropping in. So we have a good -- but there is quite a lot of business that we might be announcing of new vessels with very long employments from within this quarter. We are actually right now negotiating business at a range from again 5 to 15 years with first charters are pushing at to go hand in hand with profit sharing arrangements.
Fotis Giannakoulis - Morgan Stanley: So you’re mentioning that there are more deals to be done and I think in the last quarter you said that there are probably more similar deals to what you executed with Statoil. Is there any progress on that -- on the other oil majors or producers that are looking to employ vessels long term or even give you a contract for new building assets that will allow you to order more vessels?
Nikolas Tsakos: It’s true. I think we’re looking at least at half a dozen of these transactions, but we will be able to announce within -- most probably within this quarter.
Fotis Giannakoulis - Morgan Stanley: And is it also for similar type of vessels Aframax vessels? And if you have to make an estimate or give us proper ability, how many vessels are we talking here?
Nikolas Tsakos: I believe that we could be talking about for now and the end of the year about another six vessels.
Fotis Giannakoulis - Morgan Stanley: Again Aframax?
George Saroglou: No, well within -- within both, the crude and the ranging from VLCC, which is a segment of the market, but we are not -- as you know, we have sold all these assets and we are looking to renew, so it will start from VLCC, down to our Suezmaxs, Aframaxs and other ones.
Fotis Giannakoulis - Morgan Stanley: That looks very exciting.
George Saroglou: We are excited and we are awaiting the -- as I said I think in September we'll be announcing some very interesting transactions.
Fotis Giannakoulis - Morgan Stanley: Despite that and all this good news that you are delivering right now, we see the stock price for some reason is dropping. It could be the very thin liquidity of the stock. You mentioned about the MLP earlier. Of course that should help bridge the gap between your NAV and your stock price, what other steps are you willing to take? Are there any thoughts of potential share buybacks? You have plenty of cash in your balance sheet. Have you thought that your stock might be an interesting investment in addition to buying ships?
Nikolas Tsakos: We believe our share is I would say a very interesting transaction. We consider it very good. So I think the major shareholders have always been buyers and I think at this level of course it's a very good buy. I think after we said that that settles down about what is the new requirements from the new business of the growth capital. I think our next step will also look -- we'll be looking to look how attractive the share price of the buyback. As you know we are paying a dividend -- I think we have dividend coming this month and then November and so on and so forth.
Fotis Giannakoulis - Morgan Stanley: And apart from that, obviously you have the capital requirements for your potentially new business, are there any thoughts of issuing any preferred -- we saw that some of your peers they issued high yield or preferred -- or convertible in order to fund buyback programs. Is this something that you have been also considering?
Nikolas Tsakos: I would say high yield, we like to receive it our charters, not to pay it out. So I think we will speak -- I think we will speak to the cash that we are generating as we speak today. We always have our eyes open in the market and as soon as we know the transactions that we're negotiating, we will have a very good view what we are looking for, but I think all the transactions are going to be very attractive. So there will be -- hopefully we will reverse the trend in the market.
Fotis Giannakoulis - Morgan Stanley: Thank you, Nick. One last question, you mentioned earlier about the orders that they were -- that took place during the last couple of years in the product tanker market, I understand that you are only interested in ordering new buildings with long term contracts, but in hypothetical scenario that you would be buying vessels without any contracts, what type of vessels would these be, product carriers or crude or even expanding further in the LNG space?
Nikolas Tsakos: As I said I am very strong advocate, but no one should be ordering ships that they do not need at this stage. So I think I should stick to that because we've been preaching that for a while and tell what, the crude market seems to have reached the stage and I hope we will find the appetite. We'll get a lot of U.S. exports to take care of all the product carriers that have been ordered in that and to projected 2012, 2013 period. But I think right now, there are more than enough ships out there to move the oil and allow the owners to make a respectable repayment at the same time.
Fotis Giannakoulis - Morgan Stanley: Thank you very much for your answers.
Nikolas Tsakos: Thank you.
Operator: Thank you very much sir. Your next question from Canaccord comes from the Noah Parquette. Your line is now open.
Noah Parquette - Canaccord Genuity: Thank, Good morning. A lot of my questions have been answered but I thought you could just go into more detail you mentioned obviously your VLCC fleet, there’s only one ship left as you’re looking at new contracts. Is this -- can you talk about -- a little bit about your outlook for VLLCs? Why you avoid the sector now and will we expect more new builds with long term contracts or how do you plan to get back really into that space?
Nikolas Tsakos: Well yes, I think it’s a very good question, but in order to be a significant player in the spot markets and the VLCC you need half a dozen ships. I think we have more than half a dozen ships in many other sectors. The VLCC market is very important market and we’re client driven. Being client driven, it’s when a client needs our services in VLCCs it makes sense and plus the addition that we have a very small presence in this market makes it easier for us to decide and when we talk to the Board to move in that direction. We will only move when we have a contract that will amortize the ships to scrap of to zero and we will still left with the modern ten year old ship that has no obligations and hopefully will make a good return between that time and going forward.
Noah Parquette - Canaccord Genuity: Okay and then you mentioned -- you talked a little bit about the condensate potential for the condensate cargos out of the U.S. we saw I think two maybe three cargos last few weeks another ones, can you talk a little bit about what you see, how that new trade plays out? Is that going to all go to Asia and broader implications for how the crude export ban in the U.S., how do you see that developing over the next couple of years?
Nikolas Tsakos: Well I think the first step has been made and it’s a very important first step. Even if it goes to the Far East that's a significant ton mile, if it comes to Europe to balance some of the Russian crude that’s perhaps Europe will not be importing and that’s also a very good volume so I think it is very positive and I would say an expected trip for ship owners -- the opening up of the American exports.
Noah Parquette - Canaccord Genuity: All right. Thank you.
Operator: Thank you very much indeed sir. Now from Euro Pacific Capital, you have a question from the line of Mark Suarez. Your line is now open.
Mark Suarez - Euro Pacific Capital: Yeah. Good morning, gentleman and thanks for taking my call. Nick, you thought in the beginning of the Q&A here that for those charters that maybe come up for renewal and given the improvements that we’ve seen in the tanker space, especially in some of the Suezmax and Aframax and all the VLCCs are being improve now and getting some momentum. Should we start thinking about maybe those charters coming out for renewal in the next 12 to 18 months? By that I mean 2014 or 2015 and maybe as they come up, you’ll put them into shorter charters with profit-sharing arrangements and maybe expand your fleet or expose to the spot market a little bit more than the long term employment. Is that a better way of thinking about it?
Nikolas Tsakos: I think in general it’s the correct sense and I think it’s the first time that you the charters is willing to take profit-sharing, which we’ve always said it has been a very good arrangement for both parties together. You are correct in that.
Mark Suarez - Euro Pacific Capital: And do you think that market is now behaving to move into the profit -- is that like a big -- has the market significantly moved into those profit-sharing arrangements, something that we haven’t seen in the past? Has that been material in your view?
Nikolas Tsakos: Well I think, it has been like pulling things in most cases to get the end users to accept of corning this it’s a bit easier I would say right now.
Mark Suarez - Euro Pacific Capital: Okay. And now going back to that, I know you have an LNG option, maybe I missed it in the comment, I don’t know if you talked about it. But are you still thinking about maybe replacing that contract with construction over the two VLCCs, if you have a charter attached to it or how are you thinking about it? Do you think that could be a good entry point expanding your VLCC fleet?
Nikolas Tsakos: I hope you are not reading my emails. Yes I think that it could be a good alternative.
Mark Suarez - Euro Pacific Capital: Okay. And then lastly, I know you do some second hand tonnage acquisitions with Suezmax, should we expect maybe to see similar transactions obviously charter attached you don’t want to just buy something for the sake of buying over the 6 to 12 months or should we be thinking more about the transactions like you did in Statoil. I think you commented and maybe you’re thinking of doing something like that and you’re going to be announcing it soon.
Nikolas Tsakos: I think we’ll not exclude but it will be a smaller percentage of probability of buying ships in the open market unless it is for a strategic purpose let's say the generic company that forms those ships and they would like someone to operate and for them we'll be happy to do that. So in that case, you will see us doing something like that.
Mark Suarez - Euro Pacific Capital: Right, right. Okay that makes sense. And then lastly on, seeing your contracted cash flow continues to rise, you have raised your earnings capacity now especially with the future delivery of the nine Aframaxe's at what point do you think the Board could consider raising dividend again? Is that something you see happening? What sort of metrics you will have to see before that happens?
Nikolas Tsakos: We have to ask my Chairman here. No, I think we always -- we are a dividend friendly company and I am sure the Board -- when we see that the market environment has stabilized in 2014, I think we will be happy to consider something like that.
Mark Suarez - Euro Pacific Capital: Okay great. That’s all I have for now. Thanks. Thanks for your time as always.
Operator: Thank you very much indeed sir. [Operator instructions] As there are no further questions at this time, I will now pass the floor back to Mr. Nikolas Tsakos for closing remarks.
Nikolas Tsakos: Well, again thank you very much for following the company. As we said, I think we are optimistic of going forward. All you have to do is look back in our COOs presentation on the income statement and see that in 2005 ten years ago, the company was half the size of what it is today and we had an EBITDA of $215 million and a market cap of in excess of $1 billion and something that at the time. So I think today the company is not only double the size, but double the size in quality. So I think the prospects are strong. So we are looking to take advantage of that. We believe we have weathered the very difficult years of 2008 to 2015 and we came on the other side stronger with a stronger and larger company with a stellar banking record having all of our obligations met without any renegotiation and we're happy we've done that because we have support of our shareholders and our banks and of course our clients in going forward. So we are very excited in welcoming our new Chairman and we are looking forward to come the company and the share price to where it has to go. So with that we wish you a very good and peaceful and restful summer. Make sure, we’ll not be resting because we need to get the share price up at, least not all of us at the same time and with that, I will ask our Chairman with this wise words.
Takis Arapoglou: Well, thank you, Nikol. I think if you look as I mentioned earlier the last six months, our stock has outperformed our peers, which means that the market is beginning to realize the attractiveness of our share. I think the broadening of the investor base and the increase in the liquidity of the stock in the last six months have been phenomenal. Together with the stellar operational efficiency of the company, I think we will see going forward this correction that we mentioned on the valuation of the company for the benefit of everyone. So with that, I would like to wish you a happy and enjoyable summer and talk to you again in the fall. Thank you.
Operator: Thank you very much indeed sir. And with thanks to our speakers today, that does conclude the conference. Thank you for participating. You may now disconnect. Thank you, gentlemen.